Operator: Good day and welcome to the EFSC Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Jim Lally. Please go ahead, sir.
Jim Lally: Ryan, thank you. And good afternoon and thank you all very much for joining us. I would like to welcome you to our 2019 First Quarter Earnings Call. Joining me this afternoon is Keene Turner, our Company's Chief Financial Officer and Chief Operating Officer and Scott Goodman, President of Enterprise Bank & Trust. Before we begin, I would like to remind everyone on the call today that a copy of the release and accompanying presentation can be found on our website. The presentation and earnings release were furnished on SEC Form 8-K yesterday. Please refer to Slide 2 of the presentation, titled Forward-Looking Statements and our most recent 10-K, for reasons why actual results may vary from any forward-looking statements that we make today. We've had a very solid first quarter, highlighted by the completion of the merger with Trinity Capital Corporation and its wholly owned subsidiary Los Alamos National Bank. As we discussed on previous calls, this market gives us the opportunity to further build out our southwestern presence, while adding a significant valuable core deposit base. If you would please turn to slide three, where you'll find our financial scorecard. You will notice that our earnings per share declined by 26% from the $0.90 that we posted one year ago. Keene will get into the details related to this, but the majority of this decline had to do with merger related expenses that we incurred during the quarter. Drilling deeper into the details of the quarter, net income growth in dollars improved by 13% year-over-year due to the quality of loan growth and improvement of our net interest margin. We are especially pleased with our ability to expand core net interest margin despite continued rate pressure on deposits that exist within the industry. Scott, will provide more granular detail about our loan and deposit results in the first quarter, along with our confidence in meeting our growth numbers for the remainder of the year. Our diversified loan portfolio both in terms of geography and types of loans, has produced a very enviable quality. Compared to a year ago, we were able to reduce our non-performing loans by 18 basis points. Furthermore, we stack up very well when comparing our credit statistics to our peers. As previously mentioned, we closed on the merger with LANB, the impact of which increased our deposit levels by 29% year-over-year. Slide four list our focus for the remainder of 2019. At the top of the list is the integration of LANB into Enterprise. Much of the cultural integration began at announcement and we'll continue for the foreseeable future. The system integration is scheduled for later this quarter and we are confident in our ability to accomplish this and a seamless, client focused manner. Second on the list is our focus on achieving our organic loan and deposit growth goals. Despite the lack of growth in Q1, we feel good about our ability to achieve our targets for the remainder of the year. Finally, we will remain focused on doing the right things each and every day to improve our sales and operational processes. This culture of continuous improvement has taken hold throughout our company and is a significant reason why we have achieved the results that we have. I would now like to turn the call over to Scott Goodman, who will provide more color on our markets and lines of business.
Scott Goodman: Thank you, Jim. As shown on slide number five, the addition of the Trinity portfolio contributes 682 million of loans to the book, pushing loan growth to 20% year-over-year. Net of the acquired loans, the organic portfolio is basically level for the quarter. Slide number six illustrates continued momentum in C&I lending with 9% annual growth in the organic portfolio and 12% with the addition of Trinity. For the quarter, we experienced solid C&I growth within the geographic markets. However, this was offset by larger paydowns in the commercial real estate portfolio, along with seasonality and event driven reductions in the specialty loan segment. The business segment changes are itemized on slide number seven, along with a breakdown showing how the Trinity loan portfolio folds into the legacy book. As we have previously discussed, Trinity's loan strategy was primarily focused on commercial and residential real estate, along with some general C&I lending to private businesses was - businesses within their footprint. Within our Specialty business segments, life insurance premium finance posted solid growth as momentum from Q4 carried over through the increased policies and several new opportunities to refinance deals, which were referred from our existing client base. The EVL or Enterprise Value lending book declined by $26 million from the sale of several portfolio companies, combined with a slow quarter for new originations. Following a busy Q4, many of the sponsors were active rebuilding deal pipelines, while others were finalizing their next round of capital. In general, activity in this sector remains solid, and we're seeing a good flow of new opportunities already in Q2. Within the tax credit portfolio, the decline there was mainly as a result of a pool of credits in a leveraged fund, which were sold to investors during the quarter. This is typical in life cycle of certain tax credit funds. Our pipeline of other tax credit opportunities within the affordable housing and new market programs is solid and should result in continued growth in this sector as we move through the year. Along with specialized lending, the geographic business units are broken out on slide number eight. St. Louis had decent origination activity in the quarter but was most heavily impacted by higher than average levels of loan payoffs and paydowns related to the sale of real estate, the sale of several operating businesses, as well as the successful resolution of some problem C&I loans. In Kansas City, we experienced growth in both New C&I loans, as well as investor real estate. New relationships include M&A financing for a larger contractor, and the refi of seasoned multifamily complex, as well as a large new multiuse construction project for existing client. Arizona grew at C&I portfolio through a number of new relationships in the service, fabrication and entertainment industries. However, this was mostly offset by two large payoffs relating to the sale of property and a permanent market takeout. In general, while the lack of organic growth in the quarter is a bit disappointing. I am encouraged by the outlook for the remainder of 2019. Our refreshed sales process focused on higher levels of C&I calling continues to onboard new relationships and grow the existing book. Credit quality and loan yields are solid, as we remain disciplined relative to loan pricing and structure, particularly in a more competitive and transactional investor CRE categories. And loan activity and pipelines heading into Q2 are strengthening across the board. Deposit growth is profiled on slide number nine and shows the impact of the Trinity acquisition, pushing total deposits to over $5.5 billion mark. The additional acquired deposits are beneficial to the overall mix and cost of the legacy portfolio with DDA and low-cost savings accounts comprising nearly 90% of the total. Organic deposits were up roughly 4% over the same period last year. Balances decline seasonally from the prior quarter, but fundamentals remain solid. The trend in new account, net new account activity continues in a positive direction, as inflows into new accounts was nearly double that of closed accounts in the quarter. As rates have risen over the past year, we have seen depositors in the organic portfolio transition more dollars into interest bearing accounts. We have been able to retain a significant amount of these deposits at acceptable rates. And more importantly, we continue to expand our base of deposit relationships overall. Now, I'd like to turn it over to Keene for a review of our financial results.
Keene Turner: Thanks, Scott. We reported net income of $16.2 million or $0.67 per share on revenue of $61.6 million for the first quarter. The return on average assets was 1.1% and the return on average tangible common equity was 13%. The completion of Trinity acquisition in the quarter added $7.3 million of pre-tax merger expenses and contributed to the linked quarter decline in earnings per share and return. In addition, since the acquisition closed March 8, less than a month of earnings benefit is included this quarter, according to Scott, the specific drivers of the quarterly changes EPS momentarily. Additionally, we previously communicated that we estimated 8% earnings accretion in 2020 from Trinity with a tangible book value earned back of approximately three years using both crossover and simple methods. As we update our model post-acquisition, we continue to feel comfortable with the original guidance. We also believe that the fourth quarter of 2019 will generally reflect fully phased-in cost savings. While the first quarter was seasonally softer and fees and expenses were encouraged by the fundamentals of the business, especially with stable core net interest margin, efficiency and credit metrics all under the microscope. The breakdown of change in earnings per share for the first quarter compared to the linked fourth quarter is presented on slide 10. The largest impact of the quarter was $0.24 in merger related expenses that reduced EPS by $0.20 per share compared to linked quarter. Additionally, the shares issue as consideration for Trinity affected the diluted share count by over 1 million shares in the first quarter or around $0.04 on earnings per share and the income tax rate was impacted by several items including non deductable merger expenses, which I'll detail further. Our other results declined seasonally by $0.07 per share net, principally within fee income as the fourth quarter of 2018 included $2 million more of state tax credit sales than the current quarter. We'll dig into the remainder of the first quarter as we proceed through the detailed components. On slide 11, we present our net interest income and core net interest margin trends. Over the past year, core net interest income has expanded by 13% to $51.2 million and the core net interest margin expanded 5 basis points. On a linked quarter basis core net interest income increased $2.7 million and the core net interest margin increased 2 basis points. Reported net interest margin was 3.87% and reflects the trend in our core net interest margin, along with more stable accretion from non-core acquired assets which was $1 million higher in the linked fourth quarter. The linked quarter increase in net interest income was driven by the addition of Trinity which added approximately $3 million, while net interest income from legacy Enterprise declined modestly as our fourth quarter growth was unable to outpace two fewer days, along with net interest margin expansion. One day represents approximately $0.5 million and by our estimate core net interest income declined by less than that amount pre merger. As Scott mentioned in addition to $689 million of loans added from Trinity, we had continued success in C&I lending. We also grew the life insurance premium finance portfolio which totaled 9% of the loan portfolio. While the growth in these areas was offset by a decrease principally in real estate related categories, we still feel confident about our opportunities for the remainder of the year, with a strong fourth quarter and when that happens is typical for us to see a slower start to the next period as the pipeline is restored. The yield on the loan portfolio expanded to 5.50% and despite the acquisition variable rate and C&I loans to total loans only decreased modestly. We're still finalizing our purchase accounting evaluation and we've recorded preliminary fair value marks during the quarter. This added 2 basis points to the loan yield and 1 basis point to overall net interest margin. The impact of Trinity on net interest margin as we previously stated is generally neutral due to the higher mix of investment securities, offset by Trinity’s stable low cost deposit base. Maybe said differently, we're also pleased that despite the lower loan to deposit ratio, our core margin held steady. Remixing between investments and loans moving forward provides the opportunity to maintain stable net interest margin despite current interest rate conditions. I probably can't emphasize enough how pleased we are with the last several quarters net interest margin performance and where we are positioned today. We remain focused on enhancing our earnings by defending net interest margin, while growing loans and deposits in the upcoming quarters. Slide 12 highlights our credit quality trends, non-performing loans declined in both dollars and as a proportion of the balance sheet to 0.19% of total loans from 0.38% at the end of December. Several relationships had principal reductions in the quarter and one loan - charge-off of $1.8 million that was fully reserved in prior periods was charged off. It's worth noting that most of the movement into OREO in the first quarter was merger-related. Provision expense was $1.5 million in the quarter compared to $2.1 million in the fourth quarter. Now it’s primarily a function of the balance sheet trends in the legacy Enterprise portfolio and the decline in non-performing loans. Let's turn to non-interest income on slide 13. Non-interest income declined $1.5 million from the linked quarter, primarily from lower state tax credit activity which is seasonally strongest in the fourth quarter. We also experienced some seasonal weakness reflective of underlying transaction volume and day counts in some of our typically more stable businesses. These trends were outpaced by approximately 600,000 in non-interest income from Trinity in the quarter. Nonetheless, we continue to expect high single digit growth in 2019 fee income from legacy Enterprise, due to - primarily due to opportunities in state tax credits and card services. In addition, Trinity's current fee income stream will help strengthen and diversify us in this area, and we expect our card services and Treasury platforms will be beneficial to the client base over the long-term. Turning to slide 14, non-interest expenses were $39.8 million, including $7.3 million in merger-related expenses. As we continue to work through contract terminations, we expect that our announced one-time estimate is accurate. Approximately $2 million of the operating expenses in the first quarter for a run rate Trinity expenses since March 8. Employee compensation and benefits increased $2.7 million from the linked quarter, which includes $1.2 million from Trinity. Stepping back, legacy expenses would have declined below $30 million in the quarter before Trinity and $1 million of seasonal payroll taxes. This is principally due to some of the timing of run out of amortization on tax credit investments, which we see in the effective tax rate. Despite the higher relative Trinity operating expenses, the efficiency ratio was comparable to the prior year quarter at 54%. We expect expenses will continue to be at an elevated amount until after the conversion of Trinity system, which is currently planned for the second quarter. After conversion, the full run rate of efficiencies, including elimination of duplicate system costs, will begin to be realized and we will expect further leveraging of our expenses and improvement in the efficiency ratio. I noted earlier, but we included an exhibit on the income tax rate compared to prior periods. This is on next slide 15. The current quarter effective tax rate was 21%, including 130 basis points to the non-deductible merger expenses. Excess tax benefits were similar to full year 2018 but were unfavorable to the prior year quarter, which included a fairly significant tax rate benefit. Our effective tax rate for the first quarter after those two items is at the top end of our projection due to the timing of tax credit investments, which I noted in my expense comments. In 2018, we had been amortizing and recognizing benefits for historic tax credit and other tax credit investments, and we expect those items will positively benefit 2019 at some point. However, the timing of our investments has caused some noise in each of these line items, particularly in this quarter as we are currently evaluating investment opportunities. When we do execute on those investments, we expect that both non-interest expenses and income taxes will both be proportionately effective with a modest benefit to net income. I apologize that there is such a deep dive here, but I want to make sure that the noise in those lines didn't overshadow the strong start to the year. Overall, we're extremely pleased with the direction of the company and the outlook on our financial results. We expect the trend that we have mapped to this point on Slide 16 will resume due to our demonstrated ability to integrate previous acquisitions, as well as achieve further operating leverage from the expansion in New Mexico. We're also confident that we're doing the right things in our core business and that our organic growth for 2019 will deliver further balance sheet growth, while keeping a prudent credit and interest rate risk profile. We appreciate your continued support and for your time today. And now, we'll take questions.
Operator: Thank you. [Operator Instructions] Our first question today will come from Michael Perito with KBW. Please go ahead.
Michael Perito: Hey. Good afternoon, guys.
Jim Lally: How are you doing, Mike?
Michael Perito: Good, thank you. One hit on a few things. I just want to start with a more factual question. Keene, what the go-forward murder charge is? What else can we expect in future quarters? My guess is there will be some next quarter with the conversion. Is there anything expected after that?
Keene Turner: There may be a little bit that trickles into Q3. I think we’re - we've got a little bit more than half to go yet in terms of charges simply because most of the items relate to duplicate systems that we have to buy out the contract for, but much of the employee related and severance items has been accounted for as well as the legal and advisory fees. So, I think, most of that you'll see in the second quarter. There may be a little bit of it that leads into the third quarter, but we'll obviously highlight that and back it out as we move forward, and we'll have a much clearer sense of that if there's going to be anything in the third quarter when we report next quarter.
Michael Perito: All right. So probably another $7 million to $8 million in the second quarter and then transfer a small amount in addition to the end of third quarter give or take?
Keene Turner: Yes. Yes. I will say that, that's our best guess in terms of timing and amount at this point.
Michael Perito: Okay, thank you. And then, if we take that out of the equation for a second here, can you give us maybe a little bit more thoughts and/or color on the trajectory of the expense run rate this year, I mean, so you're at $32.5 million give or take. If we back out the merger charges in the quarter, obviously that doesn't incorporate a full quarter's worth of Trinity. Can you - I guess, can you just confirm a few numbers? I mean, as Trinity running about $9.5 million on a quarterly basis? And will that pretty much fully flow-in in the second quarter before seeing that step down from the 36% cost saves over the back half of the year?
Keene Turner: Yes, I don't think you're going to see that full $9.5 million. I think you'll see - we've got a little bit of room in our number because of the employer payroll taxes that are essentially exhausted. So, that run rate got a little bit of room, so that probably accounts for normal growth. Trinity at $9.5 million is probably pretty full. Most of the senior team has left, and so we get a little bit of that, but the rest of it's pretty duplicative. So, I'm going to call that minus $1 million. And then, fully phased-in cost savings are $3 million. So I think you'll get that in the fourth quarter. And then, offsetting those items is intangible amortization, which is about $1 million a quarter. So, just - I'm going to walk you through real quick. 30 - just call our current run rate, $30 million, plus $9 million for Trinity, minus $3 million for cost savings, so you're at $36 million and then whatever growth is, plus intangible amortization of $1 million. So $37 million, $38 million later in the year.
Michael Perito: Extremely helpful. Thank you.
Keene Turner: You’re welcome.
Michael Perito: And then just lastly, maybe for Jim or Scott, just on the growth side, I think obviously with the strong fourth quarter and I think seasonally you guys are a bit stronger in the back half of the year anyway. But just more curious how Trinity impacts the overall growth trajectory of the company. It doesn't seem like it was necessarily a big asset growth story when brought on, I think that's an opportunity you guys see. But could you guys provide any thoughts about how near term maybe the growth impact from Trinity will look like and then longer term what you hope it can become once you kind of build out the team over there a little bit further?
Jim Lally: Hi, Mike, this is Jim. I'll handle that. So, I would say this, in the near term, we hadn't budgeted much growth if at all from Trinity. Longer term, now we're spending more time in the markets, especially Albuquerque. We believe there is a significant hole in the market that we can fill relative to development and some C&I in the marketplace. But we're still devising that plan before we can put a number out there. But I feel confident that I'll be part of our growth story in the future.
Michael Perito: Okay. And then, from a personal standpoint, I mean, what do you guys think needs to be done over there? Is it upgrading talent or is it just adding more people? What are your thoughts there on the lending side to be specific?
Jim Lally: I'm very pleased with our leadership - current leadership that we inherited in the market, and they've jumped in with both feet and are working very well with the legacy company. As we grow and as we look into the market, I'm sure there's some talent that fits into us, but we really like the team that we've put in place down there.
Michael Perito: Okay. Helpful guys. Thank you for taking my questions. Appreciate it.
Operator: Thank you. [Operator Instructions] We'll take our next question from Nathan Race with Piper Jaffray. Please go ahead.
Nathan Race: Hi, guys. Good afternoon.
Jim Lally: Good afternoon, Nathan.
Nathan Race: I wanted to start on the fee income. And starting in the same quarter, I think Trinity was running somewhere between 2 to 2.5 per quarter. And you guys are just a shade under 9. So is this just as simple as kind of - thinking the - may be just a little north of 10 going forward on a quarterly basis and obviously 4Q will be impacted from a seasonal tax credit increase. I just want to make sure we're going to think about the run rate accurately?
Keene Turner: Yes. I think that's fair, Nate. I mean, I think it really is just adding the two together. I do think relative to the current quarter, we're optimistic that the tax credit line has a little bit of upside to it over the next several quarters in addition to the strong fourth quarter, but we owe that to you to prove that out. So, more to come on that, but we expect the second quarter from a tax credit perspective will look a little bit more robust.
Nathan Race: Okay. Got it. That's helpful. And just perhaps thinking about credit costs going forward, charge-offs were fairly well behaved compared to what we saw in the last couple of quarters of 2018. So just curious, with the larger balance sheet and maybe given some churn within the acquired book as those loans renew, just how we should think about maybe the online provision over the next few quarters?
Keene Turner: Yes. Nate, we've been, I think, fairly prudent in terms of making sure that we provide for growth and then items that migrate and ultimately charged off, we provide for that as well. So maybe when you step back outside of purchase accounting, coverage is around 1% given the nature of the portfolio. So, I would expect on legacy and growth it varies by segment, but you’d at least be able to kind of maintain that coverage moving forward. And if there's churn out of any acquired books, you're going to have some items that come through net interest income, but then you'll get an offset in the provision. So, those should be balancing if there's any payoffs and relative accretion from a credit perspective there.
Nathan Race: Okay, got it. And if I could just ask one more along those lines in terms of your last comment, in terms of accretion income going forward. I know it's tough to predict just given unpredictability around payoffs and so forth. But just any thoughts on what we can expect in terms of the quarterly accretion income?
Keene Turner: Yes, the current quarter was pretty good in terms of what we thought. So I think that was a little over $1.5 million, so that's $0.03 to $0.04. And I think that level we expect is fairly stable. So from the non-core acquired book, I think we've seen some stability, so 1.1, 1.2. We have that big, I'll say, that larger item in the fourth quarter where you had about $2 million of accretion, and that was allowance reversal. And there's only about $1 million of that allowance that can get reversed. The rest of it is going to come through, we would expect much more smoothly. Now, I know as soon as I say that I'm going to be wrong, but that's what our predict - that's what our estimate is.
Nathan Race: Okay. And that does not include the impact of Trinity going forward I suppose?
Keene Turner: Trinity will continue to be maybe a basis point or two, as we see it on a quarterly run rate. I think when we announced, we had a fairly low interest rate mark. The book was fairly well price, rates have moved around quite a bit. But much of the margin improvement at Trinity was coming from the investment portfolio sales. So that's already been achieved, and then the remainder, we're finalizing the purchase marks, but you had a basis point this quarter. I'd expect that to be similar and core margin trend from here.
Nathan Race: Right. Got it. I'll step back for now. I appreciate the color.
Keene Turner: Thanks, Nate.
Operator: Thank you. We will take our next question from Jeff Rulis with D.A. Davidson. Please go ahead.
Jeff Rulis: Thanks. Good afternoon.
Jim Lally: Hi, Jeff.
Jeff Rulis: Question on the - I guess, Keene, you mentioned that you'd expect most of the cost saves or all cost saves to be achieved by Q4. Is that a change? I can't remember if there was a tailwind to 2020, but just wanted to confirm that once we hit Q4, no additional cost saves in 2020.
Keene Turner: Yes. I'm not going to say no, we're absolutely none, but Q4 should be fairly reflective of the run rate give or take. So there's still some things that system-wise, ancillary systems and really that can be ongoing that get worked through. But I don't expect that or anticipate that that will deliver any meaningful run rate changes for purposes of Enterprises earnings either in 4Q '19 or 1Q 2020.
Jeff Rulis: And then, sorry to -- on the margin, I think pretty clear on the core its 3.79% and talking about maintaining some stability there. But then the accretion, so what I gathered was the - the full quarter Trinity’s have - rounding error on the added basis points you had, what 8 basis points in total on accretion. Do you expect that figure that add to margin to be roughly similar or drifting down over time?
Keene Turner: I think we expect it to be fairly similar at least call it for the remainder of the year. That's a pretty heavily marked portfolio and there's a lot of discount there still. So, I think those numbers will be relatively stable, call it for lack of a better rounding number a $1 million. And I think that when you bake that in, you have like 2% in terms of net interest income, as you bring Trinity in there, you're talking about less than 2%,1% and 1.5%. So it's getting down to be a fairly insignificant number, but it is adding 5, 6, 7 basis points between reported and core margin.
Jeff Rulis: Okay. All right. And then, maybe I don't know one for maybe Scott. Just on the credit side, the properties brought over in the acquisition, you expect any comment on those and would you see a resolution in relative quick order on those or how is the positioning there?
Scott Goodman: Yes, I think, certainly from a - I don't want to use the sort of distressed real estate or problem credit - purchase credit impaired loans, our team has a strong history in working those out dating back to the FDIC deal. Our diligence teams are very good at understanding and marking those credits, and we're already seeing those credits move in the second quarter. So I don't know that it's a fire sale, but we certainly have a mark to a point where we think we can exit them and that the - really the important piece in moving forward is that if there are credits that slip out of the portfolio loan book that need, our resolution group's attention we want them to have the time and energy and effort to stand there. So certainly anything that we think is not a viable long-term client will work to resolve fairly quickly.
Keene Turner: And Jeff, maybe I could just add. Given the types of properties, they're not going to act any differently than properties that we would have worked out of - in other markets as well. And I think we're seeing the current environment pretty conducive to working out of loans a little faster. So, I wouldn't see any - these acting any differently than anything in our other portfolios.
Jeff Rulis: Okay, thanks. That's it.
Operator: Thank you. [Operator Instructions] And we'll take our next question from Andrew Liesch with Sandler O'Neill. Please go ahead.
Andrew Liesch: Hey, guys. Just a follow-up question for me just on the securities book from Trinity, has there been any repositioning of that, have you completed the sale that you're expecting to have that book and have reinvested it into your own securities or is there still more of that, that's expected?
Jim Lally: The answer is yes and yes. So we've repositioned most of it. There are a couple of securities that are being unwound from pledging arrangements and things like that. So that's - it's a much less simple process and then we think - you think it is. But the majority of that's already been redeployed and so you're seeing those result in our run rate from a repositioning and from a yield perspective. There's a, I'll say a handful, more to do, but those will offer some modest yield improvement moving forward. But it's nothing that is inevitable. So - or is inevitable. So we'll - we generally achieve the income targets that we were expecting from that redeployment and that we announced, but it was more of a challenge to do so, given what happened with rates.
Andrew Liesch: Okay. And then, the securities book in general just the size of it, would you expect it to stay near this level or drift lower as you - to play cash flows into loans?
Keene Turner: Yes. I think some of that really depends on what happens with deposits. So, we don't typically gross up the balance sheet for securities. But we certainly like our newly found loan to deposit ratio. And I think we would look given that there are times when it's more difficult to find securities that we like, and the yields that we like, and the structure we like. We’ll - it'll probably be more lumpy moving forward, we’ll invest when we have opportunity, because we know it might get away from us. So, I think generally the same size, maybe a little bit bigger. Just because I think there's still some stuff tied up in cash now. But then over time certainly the deal model was to allow the portfolio to shrink. But I'm optimistic that we're going to have success growing deposits and that we'll be able to keep -- keep that portfolio a little bit bigger because of that.
Andrew Liesch: Okay. That's very helpful. Thanks.
Keene Turner: Thanks, Andrew.
Operator: Next question will come from Brian Martin with FIG Partners. Please go ahead.
Brian Martin: Hey, guys. I guess Keene just one - just a follow up on the last question on securities. I wanted to ask the same thing, but just the size of that portfolio relative to assets over time given where you've historically run, I mean, where do you expect to run that over time as you kind of I guess go forward?
Keene Turner: Yes, I would tell you I sleep a lot better at night with that at 18% and 14%. It makes life a little bit easier. I do think it depends on what is available from an investment perspective and what excess liquidity we have. So right now the investment environment is not outstanding. And so, we probably would let it shrink if we had strong loan demand. But if there's some things that we think that we like in the portfolio and we have the liquidity to do it, we probably would add those because we know that the market has been fairly turbulent from investing an investment portfolio over the last two to three years. So, I know that's not an answer that you're looking for. You're looking for a percentage, so I'm going to say, it's going to be somewhere between 17% and 19% profitability [ph] for 2019.
Brian Martin: Okay. All right. That's helpful. Thanks, Keene. And just the comment you made about the tax credits and that impact and fees being maybe a little bit more robust in the second quarter. I guess, does that take away from kind of when you look at the historic trends in the fourth quarter being what they typically are. I mean, I guess just as it kind of flow to different quarters or is it just a pickup in these quarters and still expect to kind of the strength in the fourth quarter we typically see?
Keene Turner: Yes. I think what we said on the fourth quarter call, Brian, is that we expected the tax credit business to expand for us by about 25%.
Brian Martin: Right.
Keene Turner: So you're still going to have – so we're going to be fourth quarter weighted, particularly this year, but we expect that you'll get some second and third quarter activity that is stronger than what we saw in the first quarter, right, in prior year, we have seen that number to be zero or $50,000 [ph] or something like that.
Brian Martin: Okay. Got you. That's helpful. And just the last two things, Keene. Just on the remixing here, and just kind of I guess, how much of that was in within securities portfolio, I guess a lot of that's not in the margin given the timing of when the changes you made, the sales posture as far as - go head.
Keene Turner: Yes, I would say, it is in the margin because even if we weren't able to sell the security right away, it got revalued to the current yield at March 8. So, if there was a theory that was yielding [indiscernible] and we were able to redeploy - sell it and redeploy it at 3.18% [ph] you might have 15 days of that instead of 21 days or whatever the time period was. But I don't anticipate that there's a material change from the portfolio moving forward.
Brian Martin: Okay…
Keene Turner: Particularly when you look at the total net interest income dollars that you'll get on a full run rate with Trinity and Enterprise like in 2Q or 3Q.
Brian Martin: Yes. Okay, that's helpful. And just the last one was just on the tax. I think you talked about in your prepared remarks some tax things you're thinking about doing. Can you just - can you give any color on what you're thinking about on the tax side or how we think about that over the balance of the year? I guess, is there or is just going to be lumpy and we’ll just kind of wait and see?
Keene Turner: Yes, I would tell you that the number - the impact on net income is negligible, right? So we think about it as, even if we are able to be highly successful executing on tax investment, it's probably a penny a quarter net, but you really see it coming through the rate. So that might be the difference - two points of difference in the effective tax rate, but you're also going to get the offsetting amortization in expenses. So, when that happens, very likely depending on whether you model it and/or model it out, you'll have a $0.5 million miss, but you'll make it back up in income tax expense and we'll point that out. But given we don't have anything that we've executed on in first quarter, I'd say that that's more likely a second half item that we would avail ourselves versus the second quarter item.
Brian Martin: Okay. And the kind of - there has been the rates, kind of to think about it from an effective standpoint for 2Q, it's more than this 18% type of range, is that kind of what you said maybe?
Keene Turner: Our rate for the year we said was 18% to 20%. We're a little outside of that because of the non-deductible expenses. But the other thing that's having a fee at the top end of that range is the tax credit investment. We're getting currently like a 1% benefit from the tax credit investments we have. And you saw last year we had about 450 basis point benefit. So there's some room in the middle of that for us to improve the rate.
Brian Martin: I got you. Okay, that's all I had. I appreciate it, guys. Thanks.
Keene Turner: Thanks, Brian.
Operator: Thank you. Our next question will come from Eric Grubelich, who is a Private Investor.
Eric Grubelich: Hi, good afternoon. I just want to follow up about a comment you made about the loan growth - excuse me, the deposit growth. I just wanted to get a sense that, I think you quoted a number of about 4%, I don't have slide deck open in front of me. But can you give us a little bit of color as to that growth, is it more of like customer acquisition in the last 12 months, is it more like a legacy base? I mean obviously some of it's probably just ordinary interest accrual that you know, your guests are just showing up. But can you give us a little bit of a sense of where some of that growth is coming from?
Scott Goodman: Yes, sure. This is Scott. Most of the growth is coming from new relationships and some additions to existing clients. As I mentioned, just if you look at dollars flowing into new accounts versus dollars flowing out of closed accounts or about double you know flowing into new accounts versus going out. The only thing that's muting that is just we see some balances from existing accounts moving to higher rate options. We're retaining that when it works for our rate structure and we're letting some of it go to higher rate options. But the key there is we're keeping a relationship.
Eric Grubelich: Okay. Thanks. Thanks for the color. Appreciate it.
Operator: Thank you. Our next question will come from Nathan Race with Piper Jaffray. Please go ahead.
Nathan Race: Hi. Just a follow-up question on capital and just curious about the appetite to continue to tap the share buyback that's out there at this point for the next couple of quarters?
Jim Lally: Yes Nate, this is Jim. I think we've been balanced in the previous year to 18 months and utilizing our internal growth in M&A, and we've increased our dividend and as well as continued buyback. So what we'll do is continue looking at all four avenues to appropriately utilize the capital that we're building. So the share price we have out there, the share repurchase program out there will stay intact, if it makes sense we’ll act upon it.
Nathan Race: Got it. And can you just remind us what the remaining authorizations that's out there, if you have it handy?
Jim Lally: I think we've just under 1 million shares still available.
Nathan Race: That's helpful. Thanks again, guys.
Jim Lally: Welcome. Thanks, Nate.
Operator: Thank you. [Operator Instructions] It appears there are no more questions at this time. I will turn the conference back over to our speakers.
Jim Lally: Ryan, thanks again and thank you all for joining us this afternoon. We appreciate your interest in our company and look forward to speaking to all of you again next quarter. Have a great day.
Operator: Ladies and gentlemen, thank you for joining today's conference call. The call has now concluded. Please disconnect your lines and have a great day.